Operator: Good day, and thank you for standing by. Welcome to the Quantum-Si Q2 Earnings Call. [Operator Instructions] Please be advised that today's call is being recorded. I would now like to hand the conference over to your first speaker today, Risa Lindsay. Please go ahead.
Risa Lindsay: Good afternoon, everyone, and thank you for joining us. Earlier today, Quantum-Si released financial results for the second quarter ended June 30, 2025. A copy of the press release is available on the company's website. Joining me today are Jeff Hawkins, our President and Chief Executive Officer; as well as Jeff Keyes, our Chief Financial Officer. Before we begin, I would like to remind you that management will be making certain forward-looking statements within the meaning of the federal securities laws. These statements involve material risks and uncertainties that could cause actual results or events to materially differ from those anticipated. Additional information regarding these risks and uncertainties appears in the section entitled Forward-Looking Statements of our press release. For a more complete list and description of risk factors, please see the company's filings made with the Securities and Exchange Commission. This conference call contains time-sensitive information that is accurate only as of the live broadcast date today, August 5, 2025. Except as required by law, the company disclaims any intention or obligation to update or revise any forward-looking statements. During this call, we will also be referring to certain financial measures that are not prepared in accordance with U.S. generally accepted accounting principles or GAAP. A reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures is included in the press release filed earlier today. With that, let me turn the call over to Jeff Hawkins.
Jeffrey Alan Hawkins: Good afternoon, and thank you for joining us. On today's call, we will provide a business update and review our operating results for the second quarter of 2025. After that, we will open the call for questions. I will begin with a reminder of our 3 corporate priorities: to accelerate commercial adoption, to deliver on our innovation road map, and to preserve financial strength. Our first corporate priority is to accelerate commercial adoption. The second quarter of 2025 marked the first full quarter of activity with the NIH funding and indirect cost cap uncertainties in full effect. During the quarter, we observed a near halt in capital purchases by U.S. academic labs. As a result, revenue for the second quarter was $591,000. This result was below our expectations, driven entirely by capital sales of new instruments. On the positive side, consumable purchases in the quarter were slightly ahead of our expectations, with customers across all market segments performing well. As communicated on our last earnings call, we believe that pharma and biotech represent a good opportunity for continued growth in terms of both new instrument sales and ongoing consumable sales. During the second quarter, our commercial team executed on specific initiatives to increase our funnel of opportunities in these market segments. I am pleased to report that we more than doubled our funnel of opportunities in pharma and biotech during the quarter, from approximately 30 at the end of the first quarter to more than 60 at the end of the second quarter. While we are pleased with these results, we are fully aware of the longer sales cycle associated with this market segment. We also know that not every one of these opportunities will result in a sale, but for those that do, our experience with customers in this market segment is that they are consistent buyers of consumables once operational with our technology. During the quarter, we also spoke with several customers who have budgeted to spend on consumables, but simply can't purchase an instrument at this time. Strategically, our goal is to create a large installed base of customers who consistently purchase consumables and apply our technology in their day-to-day research. We expect that the results of their research projects will also generate scientific publications, further validating the utility of our technology. Based on this customer feedback, we believe that in the current environment, having a single instrument acquisition model via capital sales is constraining the number of users of our technology as well as the capture of consumable revenue. To address the capital sales headwinds and given our favorable cost to produce the Platinum Pro instrument, we have recently launched an expanded set of instrument acquisition options that allow customers to have our instrument in their lab, purchase and run consumables without having to find the capital dollars to acquire the instrument upfront. While we are still in the early days of offering these new instrument acquisition options, we have already secured our first few customers using this approach, and they have purchased consumables to begin using our technology in their research. In summary, we view growing our installed base not just as a revenue driver, but as a strategic moat. With every new lab that implements Platinum Pro, we expect to see increasing consumable sales, scientific validation, and customer advocacy. The cumulative impact of this cycle is key to long-term value creation. While the capital headwinds in the market are going to impact short-term commercial results, we are optimistic about the opportunity to continue to grow our customer base using a mix of instrument acquisition options, which in turn will drive more consumable revenue and generate more published evidence demonstrating the value of our technology. Strategically, a large installed base of active users is the key to long-term success, and we will take advantage of our favorable cost to produce Platinum Pro and our strong balance sheet to continue to execute on that installed base growth despite the capital market headwinds. Furthermore, we remain confident in the long-term market opportunity in proteomics and the technology road map we are executing against to capitalize on that opportunity. Our second priority is to deliver on our innovation road map. We continue to make solid progress across all of our development programs. Our version 4 sequencing kit is currently undergoing validation studies, and we expect to launch the kit during the current quarter. This kit will further increase proteome coverage via increased amino acid detection and the addition of a new enzyme that is engineered specifically to provide high-efficiency cutting of the amino acid directly preceding aroeine. In addition, as part of this version 4 sequencing kit launch, we also expect to release an expanded set of 24 barcodes that will allow customers to increase the multiplexing level of their experiments while maintaining the same level of analytical performance they experienced with the original set of 8 barcodes. Turning now to library preparation. Our version 3 library preparation kit remains on track for launch by the end of 2025. The program continues to progress well, and the data supporting lowering the sample input quantity continues to show great promise. At this stage in the program, we believe that we will be able to lower the sample input quantity by at least 100-fold as compared to our current library prep kit. This lower input concentration requirement is expected to allow our customers to be able to process a broader range of biological samples and study biologically relevant proteins that are at a much lower concentration than our current library prep kit can accommodate. When combined with the V4 sequencing kit, we believe customers will experience a meaningful level of improvement in overall system performance and be able to pursue some of the more complex biological sample work that to date has been difficult to do with the existing kits. Next, I would like to provide an update on the Proteus development program. As a reminder, Proteus incorporates a new instrument and consumable architecture that will offer significantly more reads per sample, more samples per run, and greater workflow automation than our current platforms. To be clear, Proteus is not just an incremental improvement over Platinum Pro. It is expected to be a huge leap in capabilities, and we believe it will be a multiyear growth driver for the company. We are pleased to report that we remain on track to successfully perform protein sequencing on a prototype Proteus system by the end of 2025. Hitting this milestone in 2025 sets us up well to deliver on the launch of Proteus in the second half of 2026. In terms of interim milestones of the Proteus development program, we are pleased to share 2 important milestones since our last call. First, during our first quarter 2025 earnings call, we communicated that we had completed the development of a set of fluorescent dyes capable of supporting the transfer of our current sequencing chemistry onto the Proteus platform. Since our last call, we have been able to demonstrate an additional die and more importantly, when we look at this expanded die set in the context of the overall optical performance we are observing with this new system, we are confident that there is room to add even more dies as we seek to scale our recognizer set from its current level to our end-state goal of covering all 20 amino acids. Second, we completed feasibility of wafer-scale surface chemistry processing and have made that our standard process to produce consumables to support the Proteus development program. This is an important milestone as we look to the future commercialization of Proteus and scale-up of chip production. Wafer-scale processes are more scalable and cost-effective for high-volume production, but are often not achieved until much later in the development cycle or even post-launch, given the complexity of developing such a process. Demonstrating feasibility for wafer-scale processing so early in the program is a significant accomplishment by our surface chemistry team and sets us up well for the remainder of the development program and for our future commercial production needs. Finally, I would like to spend a few minutes updating you on 2 other exciting initiatives within our R&D organization. The first is about our amino acid recognizer development program. As part of our recognizer development program, we have designed and screened millions of candidates. As part of that process, we have amassed what we believe may be the richest set of data in the industry about how mutations inserted into engineered proteins affect their binding to end-terminal amino acids, the kinetic properties of those binding interactions, binder specificity, stability, and many other features. This proprietary data set presents a significant opportunity to leverage state-of-the-art AI tools trained on this proprietary database to design new amino acid recognizers and accelerate the path to full proteome coverage. We recently used this approach to complete our first AI-based recognizer design, achieving a binder that meets specifications within one design cycle. By using AI to design initial clones, we eliminate combinatorial screening and move directly to downstream assays, thus significantly shortening our timeline to produce candidate binders for testing and sequencing. We look forward to sharing more about this approach and the impact we believe it can have on the timing to achieve full proteome coverage at our Analyst Day later this year. Our second initiative is around post-translational modifications or PTM detection. At our November 2024 Investor and Analyst Day, our Head of Research, Dr. Brian Reed, shared data about various applications of our single-molecule kinetic detection technology. One of those applications was combining a pre-sequencing detection-only cycle with a standard protein sequencing run to provide site-specific peptide-linked PTM detection regardless of the location of the PTM. We believe that the advantage of this approach is that it will allow Platinum Pro users to detect, quantify, and identify the sequence position of a given PTM, providing data and insights far beyond those provided by current technologies. In addition, this combined approach can detect a PTM that may be very deep into a peptide and would not otherwise be detected via a sequencing-only approach today. We are pleased to report that this combined method for PTM detection has met our internal technology feasibility thresholds and has been successfully transferred to our product development team to begin developing commercial kits. Our initial discussions with customers about this approach have made it clear just how difficult this type of PTM analysis is using current technologies and how beneficial it would be to their research to have these kits and associated automated software tools available on a low-cost platform like Platinum Pro. We are excited about the potential to make PTM discovery accessible to all researchers and expect to provide more updates on the timing of commercial release at our upcoming Investor Day. Our third priority is to preserve our financial strength. While the capital headwinds in the market are going to impact short-term commercial results, we are optimistic about the opportunity to continue to grow our customer base using a mix of instrument acquisition options. We firmly believe that a large installed base of active users is a strategic advantage that will create long-term value for our shareholders, and we are uniquely positioned to grow that installed base now despite the market headwinds because of our strong balance sheet and the steps we have taken over the past 2 years to be in this position financially. I'll now turn the call over to Jeff to review our financial results.
Jeffry R. Keyes: Thanks, Jeff. Now I'll review the details of our operating results for the second quarter of 2025. Revenue in Q2 2025 was $591,000, which consisted of revenue from our Platinum line of instruments, consumable kits, and related services. Gross profit was $351,000, and gross margin was 59%. As I have said in the past, our gross margin percentage will be somewhat variable for the foreseeable future as we work through our continued commercialization efforts and may be impacted by the timing and mix of instruments versus consumable sales. Our margin has also been impacted and may continue to be impacted by the acquisition costs and any accounting adjustments to underlining inventory, some of which predates the commercial launch of the Platinum line of instruments. To this end, our gross margin for Q2 2025 includes approximately a 13% benefit or inventory utilized during the quarter that was carried at low or no value. For the 6 months ended June 30, 2025, revenue was $1.4 million, gross profit was $837,000, and gross margin was 58%. As Jeff mentioned earlier, our year-over-year revenue was impacted in the second quarter by continued capital market headwinds driven by uncertainty in the NIH funding affecting the macro market. We were impacted partially in the first quarter by this concept, but in the second quarter, we felt the full impact. Turning to operating expenses. GAAP total operating expenses for the second quarter of 2025 were $30.5 million compared to $26.8 million in the second quarter of 2024, while adjusted operating expenses were $23.8 million for the second quarter of 2025 compared to $24.4 million for the second quarter of 2024. For the 6 months ended June 30, 2025, GAAP total operating expenses were $56.1 million compared to $50.4 million in the same period in 2024, and adjusted operating expenses were $46.6 million compared to $46.3 million for the same period in 2024. The flat overall adjusted operating expense year-over-year continues to highlight our very tight cost controls we have in the organization, while still funding innovation and significant development progress of our Proteus platform and other programs that did not exist in the same period in 2024. Keeping our overall spend flat would not have been possible without continued cost control measures and allocating our capital to fund and accelerate the highest return projects for our shareholders. Of note in our GAAP total operating expenses for the quarter is an expense of approximately $3.4 million that represents our net estimated expense and cash outlay after receipt of insurance proceeds in relation to a preliminary settlement of the Delaware stockholder litigation that we initially disclosed in May 2024. The final settlement associated with this case is subject to various approvals, but we anticipate these to be completed in either Q4 of this year or Q1 of 2026. Next, our dividend and interest income in the second quarter of 2025 was $2.3 million compared to $2.9 million in the second quarter of 2024 and $4.9 million for the 6 months ended June 30, 2025, compared to $6.5 million in the same period in 2024. Overall, this change is reflecting lower interest rates year-over-year as well as relative lower invested balances. As of June 30, 2025, we had $214.2 million in cash, cash equivalents, and investments in marketable securities that we continue to earn a great safe return on. As an update, we continue to track the changing landscape of tariffs on our business and potential customer purchases. From an acquisition cost of our inventory standpoint, we have seen some minor impacts but continue to believe that we will see no material impact on our inventory acquisition costs in the near term based on current information. Much of our materials and inventory on hand now up to and through 1 year of consumption was acquired prior to any tariff impacts, limiting our near-term exposure. We continue to monitor the situation and are working on realistic mitigation strategies to limit our overall exposure long-term. Regarding import tariffs related to other countries we sell into, to date, we have not seen any impact and continue to believe we will not have any impact based on scientific and medical devices being historically exempted from import tariffs. As Jeff mentioned earlier and evidenced in this quarter's results, the NIH funding impact on the overall capital market continues to create uncertainty for us and many other capital device manufacturers. To this end, we have deployed several capital acquisition models that gets our Platinum Pro units in the hands of customers that don't have budgets for capital spend, but do have budgets for consumable purchases. Though these new models are in their early stages, we are optimistic on their impact and ability to drive consumable volume. Having said that, until we get more momentum on these new models and have more clarity on the NIH funding environment, providing any details around top-line financial guidance will be challenging. As our new models get momentum and we get more clarity around final NIH funding, we hope to provide more clarity in future quarters. Next, as we announced in early July, we priced a $50 million registered direct offering that closed on July 8. This capital raise will be used for development and commercialization activities and further strengthen our capital resources to execute on our long-term plans. We have stated in the past that we're going to be realistic and opportunistic in our capital approach, especially in the challenging markets that we and many of our peers have seen over the last several years. For this offering, we saw an opportunity to bring more capital into the company at a reasonable price, and we took advantage of it. Going forward, we'll continue to ensure the company is well-positioned to take advantage of any appropriate capital opportunity. Regarding 2025 guidance, we are revising our annual estimate for adjusted operating expenses from $103 million or less to $98 million or less. And for total cash use, we're still expecting to utilize $95 million or less, which now is inclusive of any cash payment in relation to the case I mentioned earlier that was not previously included in our annual estimate. Overall, these net improvements are based on more efficient and effective use of the funds that we have and overall efficiencies in our development projects while still maintaining our development delivery timelines. And finally, as I mentioned earlier, we ended the quarter with cash and cash equivalents and marketable securities of $214.2 million. We now anticipate that this balance, along with the $50 million from the registered direct offering that we completed in July will provide runway into the second quarter of 2028. Now I'll turn the call over to the operator to open the line for questions.
Operator: [Operator Instructions] Our first question is from Scott Henry with AGP.
Scott Robert Henry: Certainly challenging times. When we look -- think about the $600,000 for 2Q, how much of that is overseas? How much or in pharma biotech? I'm just trying to get an understanding of the size of the base foundation of revenues before we go into the NIH- impacted markets.
Jeffrey Alan Hawkins: Yes. So Scott, we don't break out the distribution by pharma, biotech, or sort of a specific segment, but we have historically said that sort of giving guidance around what our installed base looks like. And the installed base of the company sits right now at about 65% of it is outside the U.S. and about 35% of that installed base is here in the U.S. And that -- and within any given region, it encompasses sort of all the types of customers, academics, other industrial, pharma, biotech, government research labs. So that's sort of the breakdown.
Scott Robert Henry: Okay. And I guess just to get at the question in another way. I mean, do you think we're kind of -- is $500,000 to $600,000, is that sort of the bottom, and we should start to grow out of that, particularly with the different model? Or how should we think about the rest of 2025 given these dynamics?
Jeffrey Alan Hawkins: Yes, it's a good question. The way I think about it, Scott, is 2 things. One is, obviously, driving the top line requires us to sell some number of machines outright capital sales. That's obviously a much faster way to grow the top line than purely through the reagents. So I think the alternate models available to customers will help us capture the consumable revenue and get that base up. And obviously, over time, that consumable run rate is a very powerful sort of component of revenue and is where the high-margin opportunity resides. But in the short term, it doesn't sort of build on the revenue growth rate as fast as the capital sales. I think we're optimistic that this is the bottom, and we're able to start building out of this. I just don't think it's going to be an instant improvement in Q3 simply because it takes a good number of instruments out there producing consumable revenue to really to get the lift. So maybe a little lighter going into Q3 sort of in terms of growth over Q2 and then hoping to see a better acceleration into Q4 between just that larger installed base and pull-through, but also perhaps we'll see some pickup in capital in Q4 that's more cyclical in nature that we've seen sort of every year in the fourth quarter.
Scott Robert Henry: And just the final follow-up, and then I'll jump back in the queue. Could you just give us an example of what a typical placement would look like under the new model? Are there minimums? Is it a lease-type model? What does that look like as far as consumables and what we should expect from them?
Jeffrey Alan Hawkins: Yes. Thanks, Scott. So we're offering several models. So obviously, a capital purchase is one opportunity. A customer can do a more classic reagent rental where they sign up for a longer-term contract that has minimums on the consumables and capture sort of the instrument revenue over a period of time. We've made third-party leasing available as well to customers. And then the last one is what you were mentioning, which is in select situations where we believe the consumable opportunity is attractive and the type of data and such that would get published from that work, we could choose to place the machine. We would do that on a shorter-term basis so we have the ability to rotate those machines to other accounts if we don't see the consumable revenue we want. But if we do see it, I think the strategy is if the instrument is there and the people are -- customers are running it and using it and getting value out of it, for the ones that we place, we should be able to convert some of those to capital sales. Some of those may move into rentals or other models over time. But if we do place a machine, we have that ability if we don't see the type of utilization we want to be able to move those machines to another sort of site or customer lab where we believe that opportunity is in place.
Operator: Our next question comes from Swayampakula Ramakanth from HWC.
Swayampakula Ramakanth: This is RK from H.C. Wainwright. So Jeff, with the new acquisition opportunities that you're offering to your current customers or to your potential customers, do you see an increase in terms of leads as compared to going the typical capital sales? And I'm just trying to ask the question because I want to see if that can help you increase on your consumables or it's too early to call any sort of trend?
Jeffrey Alan Hawkins: Yes, RK. So it's obviously early in the offering of these. What -- the way I would sort of tell you to think about it, and what we're seeing in the initial data is it's not that the number of leads sort of in the top of the funnel is going up. I think it's more about the customers who had progressed through the sales cycle with us. They learned about the technology. They had deeper discussions with our sales folks, or our application specialists really had an understanding of it. Maybe they even performed an evaluation, and they had some interactions with our application development team, that's a part of our R&D group, and they were ready to move forward and implement, but the capital dollars got frozen or the capital dollars weren't there. So I think what we've seen as we've turned this sort of these options on and let our sales force go and talk about it is the first sort of customer accounts coming into the funnel to pursue these alternate placement models are really people who had gone on that process with us were bought into wanting to apply the tech, but just were stuck in terms of the capital dollars. So I don't think of it really -- today, I don't have the data to say it increases leads, and that's probably just because it's early. I think the more salient point and what we can see in the data is for those that had done the homework and were bought into implementing the technology, they're the ones who are showing up first here to get access to equipment and start running. So I think it's more about maybe a better sort of win rate coming out the back of the sales process by being able to offer multiple options to customers in the current capital market.
Swayampakula Ramakanth: So another question started to be on the same topic, though. Let's say, if the world did not change as tough as it has been in the last few months. So if the capital funding was still available, what's the delta you think you missed by losing those opportunities?
Jeffrey Alan Hawkins: I don't want to speculate at what that number is, RK. I can tell you that our sales force still is certainly incentivized when capital dollars are available to sell the machine outright. So we haven't made some sort of wholesale adjustment here where our sales force can just flip to these alternate sort of models in all scenarios. They still have their compensation targets, and selling instruments for capital is a big component of that. I think we have the luxury of doing these models for a couple of reasons. I think one is we have a fairly low cost to build a Platinum Pro device compared to other devices in our sort of competitive equipment that's in this market. We have sort of a favorable profile. We obviously have a strong balance sheet, so we can invest in the building of that equipment to drive this user base. And I think we have a very experienced sales force where we can give them sort of a menu of options and know that when the capital dollars are there, they will go and try to capture those. And when they've exhausted all those options, they'll resort to one of these other approaches to ensure we get at the end of the day, we get the user, we get the consumable revenue, and we get the corresponding sort of advocacy from customers, people talking about it, people presenting and publishing data. So that's how I sort of think about it. I think it would be complete speculation by me to try to say, are we capitating any sales or not? I think we're not right now based on what I just laid out, but it's something we will obviously closely monitor and make sure it's not doing that.
Swayampakula Ramakanth: So last question from me. So based on the new plan and the sort of data that you're getting, whether it's scientific publications or data on your consumables or whatnot, is -- do you feel you're getting enough information so that you can improve your product offering such a way that you can actually move your customer base away from that portion, which is having the capital dollars issue at this point?
Jeffrey Alan Hawkins: Yes. So I would say the following. I think there's been a lot of work going on. We've talked about in prior quarters in terms of sort of market development or scientific affairs. I think some of that work in terms of generating more evidence is getting to the final stages. So I do think there's a nice pipeline customers engaging and, [Technical Difficulty] even more importantly, the version 3 library prep kit with the much lower sample input. I think those improvements are really guided by what we were seeing in the field, guided by what customers [Audio Gap] the technology. So I think those will be very well received. And then while we didn't give a lot of information today about what we're doing with post-translational modifications to sort of accelerate the capabilities there, that, too, is directly linked to both existing customers who are using the tech for other purposes who want to do even more in that area or new potential customers who have a very challenging PTM to work on and this type of sort of combined kit that we're talking about would really open those up for us. So I think the combination of the different pipeline programs we have open up both customers in the academic market. They continue to help us in pharma biotech and in other segments. So I think it's -- for me, it's about lifting the improvements and the capability in terms of applications in all segments, not really about trying to move out of one segment or another, because at some point, this will improve in the U.S. academic market. So we're not going to abandon that market over something short-term. We'll keep lifting performance to service all customers and just try to prioritize more of our sales activities around the most sort of successful segments based on whatever the macro market is.
Operator: Our next question is from Kyle Mikson from Canaccord.
Kyle Alexander Mikson: So this -- like the new capital acquisition options that you announced that you're kind of rolling out here, could you maybe just clarify how long you expect those to take place? And I know it's like probably reactionary based on the external factors in the macro environment. But the real question is like do you expect to launch Proteus next year in this -- with these options? And then if so, like what are the implications for just like essentially the financial or the economic implications for that type of a decision?
Jeffrey Alan Hawkins: Yes. Good question, Kyle. I think in terms of Proteus, I would say we haven't made any decisions about offering Proteus through any model other than a capital acquisition, an outright capital sale. I think we'll monitor the market and we'll look at what the state of funding is and such before we do that. But right now, we haven't sort of altered our go-to-market thinking in terms of Proteus. And part of why we don't need to necessarily do that is we still have Platinum Pro and it has certain capabilities that will meet the needs of many customers, maybe not do everything that a Proteus can do, obviously, but do a lot of things. I think in terms of the duration of the program, we are being sort of proactive and just moving fast with what the markets look like. Obviously, if the capital markets improve, I think we're at least hearing some positive news around what NIH funding might look like. But obviously, that's got to work its way through the process and ultimately get approved and get implemented. I think if those things roll out in a positive way and we see a return to capital, we could slowly start to pull back from some of these options. In terms of duration, reagent rentals and leases tend to be longer term in nature, meaning measured in sort of a couple of years, 2 or 3 years, when you start talking about leases or rentals. I think when we talk about us being opportunistic in placing a device, we're really putting a clock on that, so that we place it with the customer, they start purchasing consumables, and are using it. And we're really measuring that every month, and we're committing to that customer that if they're using it and getting value out of it, that we'll leave that machine there with them for 6 months. And at the end of that, they have to make a decision on sort of what they're going to do. Are they going to purchase it outright? Do they want to move into a rental? But again, we're using the placement sort of selectively, lead with capital, look to use lease or rental wherever we can use placement as sort of a final stop and the placement has a lot more sort of flexibility for us on how long we leave it there, but trying to keep it in that sort of 6-month type of range, assuming that the customer is using the machine at a reasonable rate.
Kyle Alexander Mikson: And yes, on the topic of utilization, could you talk about how that is trending in this environment, given the CapEx side is constrained. However, consumables are obviously less of -- like an outlay is necessary for that. So how is that going right now? And then also, how do you anticipate that to sort of progress going forward, given you got these reagent rental potentially? I would imagine that the pull- through on that would be a little different. Can you just talk about what you expect to happen there?
Jeffrey Alan Hawkins: Yes. On the reagent front, as we said in the prepared remarks, our reagent revenue -- consumable revenue in the quarter was a little ahead of our internal expectations. So it's been going well. We haven't seen any notable variation across market segments. Even with the NIH headwinds affecting capital sales in the U.S. academic market, our existing U.S. academic customers are still purchasing. We're still seeing purchasing in our government accounts, in our pharma biotech accounts. So I think consumable purchasing has been consistent. Obviously, the variations that you see across segments still exist. Some academic labs buy more episodically where government or pharma and biotech maybe buy at a more consistent clip every single month. So the general trends we've talked about still hold. We haven't seen any notable drop-off. So we've been pleased with that. And that's another reason why we believe these other sort of instrument acquisition models could make a lot of sense is that, that budget to spend on the consumables and perform research is there. It seems to be consistent. It seems to not be going through these stop-start cycles that we're seeing with capital. So this is a way for us to start to capture that and grow that sort of attribute or contribution to our overall revenue.
Kyle Alexander Mikson: And on the new kits and prep launches that you have coming up, which end markets are those going to be most suitable to? And I'm sure -- and applications too. I'm sure it's the research kind of academic world, but it sounds like you're having more success on the biopharma side, obviously. Are these -- are you setting yourself up to have this kind of long tail of success and even deeper penetration in that end market given these new products and things?
Jeffrey Alan Hawkins: Yes. So on that front, Kyle, so the first thing is we talked about as part of the V4 sequencing kit launch, we're expanding the number of barcodes available that are sort of designed and highly validated by us. Obviously, customers could choose to design their own barcodes as they do, and other segments of the market, or using perhaps, as you see in the world of DNA barcodes. But in our world, we've really been focused on designing those, validating a very high level of performance because that's, at the end of the day, what's being used in the pharma biotech. So that expansion in the number of barcodes is a direct link to feedback we've gotten from existing pharma biotech customers, as well as some that are in our funnel that they wanted to get up to that 24 level for the types of studies they were doing or the types of applications they're doing. So I do think that that barcode set helps us continue to penetrate the pharma biotech segment better. As I talked about in the prepared remarks, we have seen that funnel grow as we get more people using it. And we've got those sort of reference accounts to point to. So we feel good about the funnel there. It's just a longer sales cycle in the drug development world than it is in other segments. I think in terms of the library prep, there's certainly a benefit in pharma biotech, but I think the benefit of that library prep is probably more broadly applicable to anybody doing more complex biological sample research. I think we touched on a few of the attributes in the prepared remarks, the 100-fold lower input quantity, ability to deal with mixtures better. I think those types of things tend to play across lots of different sort of biologically relevant systems and work, whether that's basic research or translational. So I do think that plays across all the segments when we get that V3 library prep kit launch.
Kyle Alexander Mikson: And the PTM capabilities that you referenced, I think it sounded like some new capabilities that you guys are looking at. Are you kind of like meeting the market where the need is right now? Or is that more of a longer-term thing that's good that you can -- sort of you're looking at that opportunity now, but like PTMs are not quite where customers are applying the technology currently?
Jeffrey Alan Hawkins: So what we're doing with those kits, Kyle, is just directly sort of reacting to and coming forward with a solution out of our R&D department to really hit what customers are saying they want to be able to do. We know what our current tech is capable of. There's been some preprints and posters presented that show sort of customers applying our tech here, but we think there's more we can do by doing the combined detection run with sequencing. And the way we're thinking about it, and we're going to sort of really talk about more of the plan and the kit rollout at our Investor and Analyst Day in November. But I think what we're -- the way we've set it up, the way we're prioritizing it is really about what do we think customers want to be able to do right now, what are the pain points they have with existing tech. Obviously, the longer-term view of this is based upon where we think the market will be in the end state, but I think we're definitely not doing this work thinking it's not something that customers are going to need for a while. This is very consistent with what they'd like to be doing and where the challenges are with existing tech to do this type of work today in their labs. So that's sort of our strategic approach to what we're doing on the PTM front.
Kyle Alexander Mikson: And if you have solidly over $250 million in cash and you're having challenges in this kind of core business, and it's been like a gradual sort of rollout over the years, let's say. Do you have any interest in using the capital to potentially partner or acquire or license some sort of external technology to either help you in an adjacency or kind of take over for some of the slack, maybe something that's overlapping with proteomics or some sort of similar end market that would be attractive to you right now, just given you have -- again, it's a lot of big cash balance.
Jeffrey Alan Hawkins: Yes, Kyle, we certainly recognize we're fortunate to have the balance sheet strength that we have and to have a runway out into the second quarter of '28. Obviously, our #1 priority is executing on our core technology and our core business. We didn't spend a lot of time on it in the call, but obviously, we've been very diligent over the last 2 years, really optimizing our operating expenses, getting the organization at the right size, getting the right programs funded. We've leveraged partnerships to augment our work, ones we talked about in the past, NVIDIA and IDEX Health & Sciences, as sort of a couple that are obviously deeply involved with R&D- related activities. We have the commercial partnerships and the channel partnership that's allowed us to really keep a pretty tight control over our sales and marketing spend. So I think our general plan is continue to operate the company with that level of fiscal discipline and stay focused on our business. That said, we are people who are always out in the market, and we're always interacting with folks. We're always willing to learn about technologies that could get -- that could be integrated with ours, could fit into the full workflow of the customer or even products that are directly adjacent that might bring more revenue per territory. We're certainly not opposed to the types of things you described. It's not necessarily our top priority, but we're always active. We're always listening. And if we saw the right thing, we wouldn't hesitate to do it. But we're going to be very picky, have a very high bar because at the end of the day, investors have given us money to invest in our core tech and our core business, and that's the first thing we have to do. So we have to have a high bar there, but we're eyes wide open, always willing to learn. And if we see the right thing, we're not afraid to be opportunistic.
Kyle Alexander Mikson: And then finally, if the top line remains a little bit soft and it's challenging to generate a lot of revenue kind of going forward and you need to maybe look at some cuts internally. Would that be more on the R&D side? Or do you think that the sales force just isn't matching this kind of revenue level? It's you're over-indexed to that commercial team, and that would be where things kind of happen.
Jeffrey Alan Hawkins: Yes, Kyle, I don't think we're over-indexed on commercial is the first thing I would say. We -- if you look at sort of our sales, marketing, field-based service, and support. And we've talked about this in the past. I mean we're talking about approximately 30 individuals across all those functions to support a channel network of 24 partners and then our direct sales activities. So I think there's probably plenty of examples in the industry where those numbers are much, much larger, driving a much higher expense. I think what we are doing in that area is not really expanding it in any way. We're sort of keep staying more flat, being very targeted if we do any additions. On the R&D front, I think we're -- the proof for me is in sort of the results. We've worked the R&D organization down in size and focus over the course of 2023 and '24. It's a very productive team. I mean this team continues to deliver on time and on specification. Sometimes that second point gets lost in the market. People sort of derate their product to get out on time. That's not something we do. We set requirements, and this team is hitting it. It's a productive team. We still have 2 more launches, and we're funding a very large platform program that wasn't even in our '24 numbers, and our '25 numbers are essentially flat to that. So I think we've got the right size group over there. We've got the right talent densities in all of the key functions that you need to do a novel technology like this. And I think what we're really focused on is more what I would call fine-tune. If we see something that we can fine-tune, we will. If we can -- if we see a program that's not progressing the way we want, say, in research, we'll stop that program. But I would view it more as being very targeted -- and I think the other lever we have control over and we've been very mindful of is we've remained nearly flat with headcount, sort of plus or minus a couple of people since we did the big R&D realignment last fall. So I think we're taking advantage of being just very targeted and having that talent density and just being mindful of that, don't add to it, keep it sort of get the productivity we can out of the people we have, and just have the right priorities and the right focus every day. So I think that's how we're approaching it right now. Obviously, if some major events occur that impacted that thinking, we would be sort of mindful of it and analyze it, and make the right decisions. But I think the way we're planning for it is we've got what we need. We'll stay very tight and not really grow that envelope and just really focus on executing the business at hand.
Operator: This does conclude our question-and-answer session. I would now like to turn it back to Jeff Hawkins for closing remarks.
Jeffrey Alan Hawkins: Thank you for joining our call today. We look forward to providing more updates on our business during the next quarterly earnings call and at our upcoming Investor and Analyst Day in November. Thank you for attending.
Operator: This does conclude our program. You may now disconnect.